Cindy Wang - China Renaissance:
Yada Li - CICC:
Alex Ye - UBS:
Operator: Hello, ladies and gentlemen. Thank you for participating in the Second Quarter 2024 Earnings Conference Call for FinVolution Group. At this time, all participants are in listen-only mode. After managements' prepared remarks, there will be a question and answer session. Today's conference call is being recorded. I would now like to turn the call over to your host, Jimmy Tan, Head of Investor Relations for the company. Jimmy, please go ahead.
Jimmy Tan : Thank you, Alison. Hello, everyone, and welcome to our second quarter 2024 earnings conference call. The company results were issued via Newswire services earlier today and are posted online. You can download the earnings release and sign up for the company email alerts by visiting the IR section of our website at irr.finvgroup.com. Mr. Tiezheng Li, our Chief Executive Officer, and Mr. Jiayuan Xu, our Chief Financial Officer, will start the call with their prepared remarks and conclude with a Q&A session. During this call, we will be referring to several non-GAAP financial measures to review and assess our operating performance. These non-GAAP financial measures are not intended to be considered in isolation or as a substitute for the financial information prepared and presented in accordance with U.S. GAAP. For information about these non-GAAP measures and reconsideration to GAAP measures, please refer to our earnings press release. Before we continue, please note that today's discussion will contain forward-looking statements made under the Safe Harbor Provisions of the U.S. Private Security Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company results may be materially different from the views expressed today. Further information regarding these and other risks and uncertainties are included in the company filings with the U.S. Securities and Exchange Commission. The company does not assume any obligation to update any forward-looking statements except as required under applicable laws. Finally, we will post a slide presentation on our high-end website providing details of our results for the quarter. I will now turn the call over to our CEO, Mr. Tiezheng Li. Please go ahead, sir.
Tiezheng Li : Thanks, Jimmy. Hello, everyone, and thank you for joining our earnings call. This is Tiezheng Li, CEO of FinVolution Group. We are happy to speak with you today. We ended the first half of 2024 on a positive note, driving progress growth in the China market while maintaining our rapid growth momentum internationally. Through determined, strong execution of our local excellence global outlook strategy, or simply LEGO, legal strategy, we made great strides across our business in the markets in which we operate. Cumulatively, we have served around 31.5 million borrowers across China, Indonesia, and the Philippines as of June 30, 2024. During the first half of 2024, transaction volume for the China market reached RMB92.5 billion, up 6% year-over-year. Transaction volume for the international market continued to grow rapidly, soaring to RMB4.5 billion, up 32% year-over-year. In terms of outstanding balance, China reached RMB64.2 billion, while our international market rose to RMB1.4 billion, up 3% and 27% respectively year-over-year. This stellar performance stands out as a testament to the effective execution of our legal strategy and the unwavering commitment of our team. Customer acquisition is a key element of our legal strategy. We view it as an ongoing investment that will ultimately lead to a higher percentage of better quality repeat borrowers and drive sustainable growth. During the second quarter, our number of total new borrowers reached 823,000, up 22% year-over-year and 15% sequentially, validating our ability to grow our business across different countries. Notably, as we completed the transition to better quality borrowers in Indonesia and began to diversify our business model, the percentage of new international borrowers once again surpassed the percentage of new China borrowers. Furthermore, our number of new borrowers in the Philippines continued to grow robustly in the second quarter, increasing by 198% year-over-year and 69% sequentially. Our effective social media strategy in the international market also continued to yield positive outcomes. As of the end of the second quarter, our followers on leading social media platforms such as Facebook, TikTok and Instagram had risen to approximately 1.3 million, 850,000 and 240,000, up 41%, 30% and 8% year-over-year respectively, validating the strong brand awareness of deep localization we have created in our overseas market. As a fintech leader, technology is deeply engraved in our DNA. It remains the core of our business and our primary competitive edge. During the second quarter, we hosted an internal tech competition called Hackathon [ph], bringing together 60 R&D teams for a 36-hour session in a closed-door environment. Winning projects included Admin AI Bots, which can incorporate API function calls into large language models. This framework can also be expanded to include multiple internal tools and support the management of different tools across platforms. Another standout is e-slot [ph], leveraging AIGC to utilize fragmented time slots to increase productivity. We believe these projects demonstrate great implementation potential for enhancing our operations and overall efficiency. Next, I'd like to share some updates on our ESG progress. We recently published our 2023 ESG report, the sixth in our company's history, highlighting our dedication to transparency and sustainability. In 2023, we advanced our mission of leveraging innovative technologies to make financial services better, as well as our ESG strategy centered on technology, green principles, and candidates. In addition to giving back to society with innovative technologies, FinVolution emphasizes integrity and compliance, low-carbon development, and harmonious relationships with employees, partners, and communities in its ESG management efforts. Moreover, we continue to support small business owners through the second quarter's challenges. During the second quarter of 2024, we cumulatively served around 415,000 small business owners and facilitated RMB14.2 billion of loans to neutralize their debts. I also want to highlight our longstanding cooperation with the national weightlifting team and congratulate them on their recent wins at the Paris Olympics. We are proud to promote awareness of the sport alongside the team and leverage their public image to help small business owners increase their product sales. Our joint initiatives embody our shared interest of the Olympic values of excellence, respect, and friendship, helping to create a better society for all. We will continue to integrate ESG management throughout our business operations and partnerships, providing sustainable development across the industry. Before we move on to our CFO's review of operational and financial metrics, I'd like to share that FinVolution celebrates its 17th anniversary during the second quarter, a milestone that inspires us to look towards our sustainable future. As such, we set our vision for 2030 to become an international Fintech platform connecting borrowers and financial institutions across multiple global markets, and leading the industry in each of them. We remain dedicated to leveraging innovative technology to make financial services better and greener, sustainably propelling FinVolution’s long-term growth. To summarize, despite China's ongoing macro challenges, we successfully deployed our leading technologies and operations capabilities to achieve solid progress in the second quarter across all the markets in which we operate. Going forward, as China's macro environment improves, we are confident of resuming faster growth and delivering consistent returns across multiple metrics for all our stakeholders. With that, I will now turn the call over to our CFO, Jiayuan Xu, who will discuss our operational and financial results in great detail.
Jiayuan Xu : Thank you, Li, and hello everyone. Let's go through our key results for the second quarter. To be mindful of the length of our earnings call today, I encourage listeners to refer to our second quarter earnings press release for further details. Despite China's 5% GDP growth in the first half of 2024, uncertainty still persists in the macro environment. Small ticket items and tourism-related activities remained the bright spot with the May holiday, 618 shopping festival and consumption-related index all showing signs of improvement. However, China's overall retail sales slowed to 2% growth year-over-year in June, which does not reflect an optimal recovery trajectory. China's manufacturing PMI index remained largely stable in July with manufacturing PMI holding steady at 49.4 points. Concurrently, the manufacturing PMI and compensated PMI both reached 15.2 points, which is within the expansion range, indicating Chinese enterprises' gradual production recovery. In short, although China's economy is recovering, there are still pockets of turbulence, which we will need to navigate using our vast experience in the technological and operational process. As Li mentioned, our performance in the first half of the year was solid with transaction volume growth in both China and the international market slanting within our guidance range. This was supported by consistent excellence across numerous other areas, such as institutional funding, loan collection, and risk performance, among others. Let me walk you through some of the details. During the second quarter, our average borrowing rate in China remained stable at IRR 22.2%, validating our strong commitment to advancing financial inclusion. Given financial institutions' growing desire to obtain good-quality borrowers for our platform, our funding costs improved significantly, shrinking another 90 bps during the quarter and recording a cumulative improvement of 114 bps in the first half of 2024, leading to consistent improvement in our take rate. Such a huge semi-annual improvement in funding costs underscores financial institutions' deep trust in our credit risk assessment capabilities and our ongoing enhancement of the quality of our borrowers. Given the quality of our borrowers and ample market liquidity, we are confident of achieving continued improvement in funding costs in the second half of the year. Regarding risk management, the recovery economy and our agile adjustment to our credit risk assessment models drove progressive improvement in our day-one delinquency rate, which fell by 10 basis points sequentially to reach 5.1% for the quarter. From a vintage perspective, we maintain our view that vintage delinquency will stabilize at around 2.5%. By referring our responsive payment deduction strategy, we have enhanced the efficiency of our loan collection process, resulting in an improvement in our loan collection recovery rate to 88%, up 200 basis points from the previous quarter. We expect this strong recovery momentum of loan collection will persist in the second half of the year. Furthermore, as we continue to optimize our operations, we have strategically adjusted our business portfolio to adapt our partners' involving requirements. For the first half of 2024, transaction volume for our international market reached RMB4.5 billion, up 32% year-over-year to reach the upper range of our guidance. Supported by the strong global microenvironment and our effective legal strategy, we believe our international business growth momentum is sustainable with further diversification among different business models. Moving on to our international expansion efforts, Indonesia, our first and largest overseas market has shown continued growth in its macroeconomy throughout the first half of this year, with a recorded GDP growth of 5.05% for the second quarter and a targeted GDP growth of 5.2% for full year 2024. The Indonesia Consumer Confidence Index has remained high at above 120% for 18 months. The volume of motorbike sales increased 26% year-over-year and 17% sequentially to 599,000 as of July 2024, further illustrating the nation's heightened consumer optimism. Beside a moderate correction to 49.3% in July 2024, Indonesia's manufacturing PMI has remained above 15% since September 2021, reflecting nearly three consecutive years of sustained economic prosperity. The unemployment rate decreased further year-over-year in March 2024 to 4.8% from 5.5% in the same period last year, further strengthening consumers' confidence. After two quarters of business adjustment towards better quality spoilers under the new pricing cap, we are proud to share that we have stabilized our operations in Indonesia and continue to gain recognition from local customers and other stakeholders. This recognition has attracted new funding partners, including a leading local digital bank. We are also steadily building and strengthening our relationships with larger and more reputable local financial institutions to diversify our funding sources, thereby optimizing funding costs. Next, our second international market, the Philippines. As of July 2024, its manufacturing PMI has remained above 15% for 11 consecutive months. The Philippines' labor market is also exhibiting positive momentum, with the unemployment rate dropping to 3.1% as of June 2024 from 4.5% compared to the same period last year. Furthermore, private consumption contributed 72.5% of the Philippines' nominal GDP in the second quarter of 2024, reflecting robust domestic demand that will further support the nation's rapid economic growth. Notably, our Philippines' operations continue to outperform expectations, with transaction volumes growing 140% year-over-year and 20% quarter-over-quarter to RMB674 million in the second quarter, representing 29% of the international transaction volume. This outstanding performance reflects strong support from our local partners such as SeaBank, Union Bank, and Myer Bank, our latest funding partners who recently partnered with us on a $47 million program. With sufficient funding in place, we believe we can maximize the benefits of our e-commerce cooperation with TikTok Shop, acquire additional new borrowers from diversified channels, and sustain continued high growth rates. Now turning to our financial metrics, this quarter's operational excellence lead to better than expected financial results. Net revenue for the quarter reached RMB3.17 billion, up 3% year-over-year. Our net income was RMB551 million, a 4% increase quarter-over-quarter, underscoring our operational stability. Meanwhile, sales and marketing expenses increased by 5%, sequestering to RMB473 million as we continue to invest in growth across all of our markets. As we restructured our business mix, our leverage ratio adjusted to 3.5 times, indicating opportunities for dramatic growth when the economy further recovers. Our balance sheet remained robust, with short-term liquidity maintaining a healthy level at RMB8.1 billion, reflecting our strength and flexibility in executing our legal strategy to advance our international expansion and drive shareholders' returns. Consistently, rewarding our shareholders remains a top priority for FinVolution, both through business growth across different markets and our market-leading capital return program incorporating share repurchase and dividends. Our first share repurchase program began in March 2018, shortly after our IPO in November 2017, and has been widely embraced by our shareholders. Our buyback history indicates two repurchase programs with a total deployment of around $216 million. We are now conducting our third repurchase program of up to $115 million. Notably, in the second quarter, we deployed around $13 million and repurchased 6.1 million ADS. For the first half of 2024, we have deployed around $57 million for share repurchase. Our total cumulative share repurchase amount reached $337 million as of the end of the second quarter. In addition, our dividends have steadily increased over the past four years, with the cumulative dividend amount reaching $325 million. In total, our capital return program has returned $662 million to our shareholders, with the payout ratio rising to 49% of net profit in 2023. Going forward, we will continue to strengthen our capital return program for our shareholders. In summary, our solid second quarter results showcase our legal strategy's effectiveness. Our nameable business model and our technological advantages, we expect our Indonesia operations to become profitable in 2024 and our Philippines operations to contribute profits in 2025, boosting our confidence in deploying a more proactive international expansion strategy. As we capitalize on the massive opportunities in the international markets, we look forward to delivering sustainable growth and sharing our success with all our stakeholders. That concludes my prepared remarks. We will now open the call to the questions. Operator, please continue.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question today will come from Cindy Wang of China Renaissance. Please go ahead.
Cindy Wang: Thank you management for taking my call. I have two questions here. First question is, could you give us some color on the trend of your China borrowers' loan demand in the second quarter and also in July? And the second question is, in Indonesia, your customer acquisition strategy after the APR meets the requirement. And any updates on the regulation front of the interest rate requirement in 2025? Thank you.
Tiezheng Li: Hello, Cindy. Let me do the translation. Regarding China demand, during the second quarter, the trend of our borrowers' demand is largely in line with the weakness in residential credit demand. The daily application rate of repeat borrowers declined by mid-single digit around 6% on an annual basis and quarterly comparison, reflecting weak consumer confidence. In July and August, we have observed that the application rate of our repeat borrowers has increased by mid-single digit between 6% to 7% on a daily basis. The demand of our borrowers is concentrated in the area of daily necessity. Therefore, when the economy is weak, it will show more resilience and we expect demand will gradually improve in the second half of the year. Hello, Cindy. Let me do the translation. From the Indonesian market environment, it is presenting a much more positive trend. After the Indonesian election, political situations have normalized with an improving economy such as GDP increase. Let us concentrate on our performance in Indonesia. During the second quarter, transaction volume for Indonesian market reached RMB1.64 billion, up about 6% to 7% annually, with outstanding loan balance between RMB1 billion, up about 4%. Revenue for the quarter reached RMB430 million. Number of borrowers reached RMB530,000 up 4% sequentially, and number of new borrowers reached 200,000, up 9% sequentially. We have cumulatively cooperated with seven financial institutions, and all our funding is from local financial institutions now. Our Indonesian operations has completed its pricing transition in just five months, and we have made adjustments in borrowers' costs, model iteration and credit risk has improved by 28%, meaningfully offsetting the impact of interest rate reduction. Therefore, our take rate returned to 10%, reflecting our business entering a more stable stage. For the second half of the year and for the third quarter, we expect Indonesian operations will resume growth of over 10%, with transaction volume potentially reaching new record high. Indonesian online operations will remain stable, with credit risk, customer acquisitions improving consistently. For offline operations, we have completed the acquisition of a multi-finance license, with a controlling stake of 83.7%. Going forward, we will proactively explore both online and offline China's multi-products and buy now, pay later installments for different scenarios such as electricity and electric bikes, et cetera. We will fully leverage our China expertise and leverage them in our Indonesian market to ensure future growth. Hello, Cindy. Any more questions from you?
Cindy Wang: No more questions from me. Thank you.
Tiezheng Li: Thank you.
Operator: Thank you. And our next question will come from Yada Li of CICC. Please go ahead.
Yada Li: Then I will do the translation. Hello, management. Thank you for taking my questions. And I was wondering, what's the plan and growth target for the company's domestic business? And I've noticed that the company has gained a slightly faster volume growth compared with the peers. And looking ahead, how likely the company can maintain such growth? And how does the company balance the volume growth and profitability? That's all. Thank you.
Jimmy Ta: Hello Yada, let me do the translation for Alexis. As you know, China market has some changes this year, and it is very different from the previous years. And currently, the scale of China consumer market has slowed down and entered into a stage of increased competition. After the fiscal risk fluctuation in the industry during the second half of 2023, many players have experienced varying degree of earnings reduction. Under the uncertain macro environment, we are searching for certainty that is beneficial for us and execute sustainable development in China. We have a few ways to achieve this. First of all, we have certainty for success on acquiring new borrowers through information fees, leveraging on data and behavior. We continue to optimize the information fees in China and improve the algorithms, and conduct joint modeling to enhance ROI. And we are able to increase the accuracy in determining the lifetime value of our customers and maintain stable customer acquisition strategy. Transaction volume contributed by new borrowers was up 2% and 27% year-over-year. Our percentage of new customers was between 12% to 15%. At the same time, we are able to have better cost control and a healthy LTB level. Apart from information fees in China, we are also actively diversifying our customer acquisition in China and have found multiple new internet platform partners to work with us. In addition, we are also leveraging on our brand to influence our borrowers. For example, during the Olympics period, our support for the national weightlifting teams has achieved tremendous success along with their wins at the games. Along with promoting a positive image for China Olympics, we have also gained remarkable results of over 100 million views and over 20 million counts of video traffic transmission. And secondly, the management of repeat borrowers is a certainty for us, and we have over 17 years of operating history and we are very familiar with our borrowers. Through deeply excavating their diversified multi-layers and differentiated requirements, we will then refer them with the most suitable products based on different scenarios such as user profiles and behavior characteristics. And all these have led us to increase our users' promotion impact by 36% in the first half, which leads to a higher transaction volume for repeat borrowers. Thirdly, our business operations remain healthy with stable performance coupled with continuous improvement in funding costs, which leads to progressive improvement on multiple funds such as tick rates. All these ensure our high-quality growth, which is above the industry and lay the cornerstone for sustainable growth going forward. Okay, thank you, Yada.
Yada Li: [Foreign Language]
Jimmy Ta: Okay, thank you, Yada.
Operator: Thank you. [Operator Instructions] And our next question today will come from Alex Ye of UBS. Please go ahead.
Alex Ye: Thank you. So, my first question is on asset quality. We have noted that early indicators have claimed to improve in the second quarter. Just wondering what are the key drivers behind a recent trend? And should we be worrying about any potential uptick in NPR in the second half, like in the third quarter last year? And the second question is on the sequential trend on the take-away. What have been the key drivers behind? What is the outlook for the second half? And is there any more room for improvement for the final cost? Thank you.
Jiayuan Xu : Hello, Alex. Let me do the translation. Regarding our overall asset quality. During the initial phase of restoration last year, we leveraged on our years of experienced and [Indiscernible] accurate predictions of industry trends and higher approval rates for riskier borrowers and higher debt, higher risk, and deploy different strategies for medium risk groups, and quickly adjust for the risk strategies during the early stages of delinquencies. In the first quarter, risk performance stabilized, and we are one of the earliest platformers in the industry that are able to contain risk at a lower level. During the second quarter, we further optimized, adjusted and iterated on the overall credit limit, and explored solutions for different types of users, while maintaining growth in transaction volume and balancing risk. We have also shared that during the second quarter, our vintage delinquency remained stable at 2.5%, while day one delinquency reduced by 10 basis points to 5.1%, and loan collection recovery rates improved to 88%. We don't think this situation will happen in the second half as the overall environment is much more stable now. I would like to share more information with you. Over the past 17 years in our operating history, industry-wide fluctuations in asset qualities have occurred four times, and such fluctuations on average last around 4-5 months, with the longest lasting 7 months and the shortest lasting 2 months. The fluctuation for this round is considered to be mid-term, and the impact of fluctuation is smaller. Based on past recovery experience, the recovery process normally takes place at between the 4 to 6 month. Therefore, the fluctuation this time round is not unique, and has already shown signs of recovery. And we are confident to handle any more of such fluctuations in the future, based on our experience. Hello, Alex, let me do translation. Regarding take rates during the second quarter our average borrowing rates remains at 22.2%. Funding cost optimized by 90 bps in the second quarter while vintage delinquency remain stable at 2.5% and take rate further improved to 3.1%. For the second half of 2024, we expect average borrowing rate to remain stable and funding cost and vintage delinquencies to have further optimization. Our asset quality is popular in such environment and we are one of the few platforms that are able to maintain growth. This is the reason why we are more room to negotiate for better funding costs with our funding partners. Funding costs has continued to improve by 140 basis points in the first half, improved by 90 basis sequentially. And going forward we still believe it will have room for improvement based on how it adjusted for the year. Okay, thank you, Alex.
Operator: Okay, thank you. As there are no further questions now, I'd like to turn the call back over to the company for closing remarks.
Jiayuan Xu : Thank you once again for joining us today. If you have any further questions, please feel free to contact FinVolution Group's Investor Relations Team. Thank you all, and have a nice day.
Operator: This concludes this conference call. Thank you for joining. You may now disconnect your line.